Operator: Good morning ladies and gentlemen, thank you for standing by and welcome to Jack Henry and Associates Second Quarter Fiscal Year 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to turn the conference over to your speaker for today to Kevin Williams, Chief Financial Officer and Treasurer. Please go ahead, sir.
Kevin D. Williams: Thank you Olivia. Good morning. Thank you for joining us for the Jack Henry & Associates second quarter fiscal 2022 earnings call. I am Kevin Williams, CFO and Treasure and on the call with me today is David Foss, Board Chair and CEO. The format for our call this morning will be just a little different than our normal format we have typically used in the past. But just as a warning the opening comments will take a little longer than normal. In just a minute I will turn the call over to Dave to provide some of his thoughts about the state of our business, financial and sales performance for the quarter, comments regarding the industry in general, and some other key initiatives that we have in place. Then after Dave concludes his comments, I will provide some additional thoughts and comments regarding the press release we put out yesterday after market closed and provide comments regarding our updated guidance for our fiscal year 2022, provided in the release. At that point Dave will have some additional comments and updates that he will make on the press release that we put out Monday morning. Then at the conclusion of those comments we will then open the lines up for a traditional Q&A. First, I need to remind you that this call includes certain forward-looking statements, including remarks or responses to questions concerning future expectations, events, objectives, strategies, trends, or results. Like any statement about the future, these are subject to a number of factors that could cause actual results or events to differ materially from those which we anticipate due to a number of risks and uncertainties. The Company undertakes no obligation to update or revise these statements. For a summary of these risk factors and additional information, please refer to yesterday's press release and the sections in our 10-K entitled risk factors and forward-looking statements. On this call, we will discuss certain non-GAAP financial measures, including non-GAAP revenue and non-GAAP operating income. The reconciliations for historical non-GAAP financial measures can be found in yesterday's press release. With that, I'll now turn the call over to Dave.
David B. Foss: Thank you Kevin, good morning everyone. I am pleased to report another strong quarter of revenue and operating income growth. As always I'd like to begin today by thanking our associates for all the hard work and commitment that went into producing those results for our second quarter while also continuing to deal with the impacts of the ongoing pandemic. As Kevin mentioned in his opening remarks we're going to conduct today's call a little differently from the cadence of past calls. I'll start with comments regarding the performance of the business in the quarter, then Kevin will share detailed financial results. Instead of moving to Q&A after Kevin's comments however I'm going to come back and conduct a detailed review with you of an exciting new product technology modernization strategy for our company. This is an important update for you as we believe this strategy which we've been working on for more than two years will fundamentally define the evolution of our company and our industry. We will address questions after that strategy review.  With that let’s shift our focus to look at our performance for the quarter we completed in December. As of the end of the quarter we continued to operate with well over 90% of our employees working full time remote and continue to evaluate options regarding an appropriate return to office target date. At this time we have no published date but we have proven that our business can perform well in a remote pasture, so we don't feel any significant pressure to change that. For Q2 of fiscal 2022, total revenue increased 17% for the quarter and increased 11% on a non-GAAP basis. Consistent with our previous guidance the deconversion revenues -- the deconversion fees were up almost $25 million over the prior year quarter which led to the extremely strong GAAP revenue performance. But you should note that even without the increased deconversion revenue this was a very strong quarter.  Turning to the segments, we again had a solid quarter in the core segment of our business. Revenue increased by 15% for the quarter and increased by 7% on a non-GAAP basis. Our payment segment also performed very well posting an 18% increase in revenue this quarter and a 13% increase on a non-GAAP basis. We also had a strong quarter in our complementary solutions businesses with a 17% increase in revenue this quarter and an 11% increase on a non-GAAP basis.  As I mentioned in the press release our sales teams again had a very solid quarter as they booked the largest sales quarter in the history of the company. Those of you who follow us closely will note that our last quarterly sales record was set only six months ago. In the second quarter we incurred 15 competitive core takeaways and an additional 15 deals to move existing in house clients to our private cloud delivery [ph]. As we have discussed on prior calls our convert merge backlog is a good indicator for us of what to expect with coming mergers and acquisitions within our base of customers. Our contract volume in this area continues to grow to the point that we have now added one new conversion team on the banking side of our business. Additionally, we will be adding another team next quarter on the credit union side of the business and we're evaluating adding one or two more teams in the near future based on ongoing demand.  We continue to see good success with our new card processing solutions signing 13 new debit processing clients this quarter and six new credit clients. We also continue to see great success signing clients to our panel of digital suite with 44 new contracts in Q2. Speaking of our digital suite we are continuing to implement new financial institutional clients on the Banno platform at a similar pace to recent quarters. At the end of Q2 we surpassed 6.6 million registered users on the platform and our Banno platform continues to hold one of the highest consumer ratings in the app store.  A couple weeks ago we announced a significant promotion for a key member of our leadership team. After more than 10 very successful years with our company, Greg Adelson has been promoted to President and Chief Operating Officer. As I noted in the press release, Greg will retain all of his prior responsibilities as COO but will now be responsible for leading the recently formed digital and technology office headed by Ben Metz. I would like to congratulate Greg on this well deserved promotion and congratulate Ben on his moved to his new position. Both will play a major role in our success going forward.  As some of you know we've continued to make major advances with our environmental, social, and governance initiatives and the Board has established a quarterly cadence to discuss industry matters. Jack Henry’s next sustainability report will be published on March 31st and will highlight our major advances in this area during the past year. We will be able to access this new report through sustainability website link from our Investor Relations site. In January cornerstone advisors published results of their annual survey of bank and credit union executives. According to that study, 84% of financial institutions in our target market expect to increase their technology spending in 2022 with 24% of them indicating an increase of greater than 10% year-over-year. This correlates with the information we're receiving from other sources which puts the average expected increase in tax spending for 2022 in our markets at greater than 5%. I think that pent up demand is reflected in the continued influx of RFPs we are receiving and the ongoing interest in Jack Henry Technology Solutions.  As we begin the second half of our fiscal year our sales pipeline is very robust and we continue to be optimistic about the strengths of our technology solutions, our ability to deliver outstanding service to our clients, our ability to expand our customer relationships, the spending environment, and our long term prospects for success. With that I will turn it over to Kevin for some detail on the numbers. 
Kevin D. Williams: Thanks Dave. During the quarter services support revenue increased 18% compared to the prior year quarter. As Dave mentioned deconversion rate was up 24.7 million for the quarter compared to last year. License, hardware, and invitation [ph] revenue combined were actually up 10% compared to the prior year. Our data processing and hosting fees on our private and public cloud offerings continue to show strong growth in the quarter compared to previous year growing by 11% for the quarter. On a non-GAAP basis total support to services grew 8% for the quarter compared to the prior year. Our processing revenues increased 15% in the second quarter of fiscal 2022 compared to the same quarter last fiscal year on both a GAAP and non-GAAP basis. The increase was primarily driven by higher card volumes from new customers installed last year and increased debit and credit card usage from existing customers.  Our Jack Henry digital revenue continues to show strong growth as demand for a manual digital platform continues to be very strong. Total revenue was up 17% in the quarter compared to last year and on a reported GAAP basis. 
David B. Foss: I'm getting reports that it is really hard to hear because of feedback. Olivia, can you hear us. 
Operator: Yes, sir we can hear you but there are some feedback on the background. 
David B. Foss: [Technical Difficulty]. So Olivia, shall I call in on a different line. 
Operator: Yes, you can try that or would you like me to dial out for you. 
David B. Foss: That's fine dial me.
Operator: Okay. You are now back in.
David B. Foss: Yeah, but we are still getting feedbacks, so it must be your end. 
Operator: Yes, I am still hearing feedback from that line. Maybe try from a different line. 
David B. Foss: Now that is you, we're on a different line. So Olivia can you hear us. 
Operator: Yes, your voice is clear but when you speak it does have a lot of sound from love background. 
David B. Foss: But when you speak it also has that. What are you doing to address this. We can't do anything... [Technical Difficulty]. So Olivia, someone in your team is doing something to address this. 
Operator: Yes, I am not hearing the background sound anymore. You are now pretty clear now. 
David B. Foss: Okay, so I have no idea what's going on. 
Kevin D. Williams: Okay. So services forward revenue increased 18% in the second quarter of fiscal 2022 compared to the same quarter a year ago. As Dave mentioned deconversion was up 25 million as we sort of guided for the quarter compared to last year's quarter. License, hardware, and invitation revenue combined were actually up 10% compared to the prior year. Our data processing hosting revenue and our private and public cloud offerings continue to show strong growth in the quarter compared to previous year growing by 11%. On a non-GAAP basis total support and service revenue grew 8% for the quarter compared to the prior year.  Our processing revenue increased 15% in the second quarter of fiscal 2022 compared to the same period last year on both a GAAP and non-GAAP basis because all the non-GAAP items are up in support and services line. The increase was primarily driven by higher card volumes from new customers installed last year and increased debit and credit card usage from existing customers. Our Jack Henry digital revenue continues to show very strong growth as demand for our Banno digital platform continues to be very strong. Total revenue was up 17% for the quarter compared to last year on a GAAP basis, an increase of 11% on a non-GAAP basis.  Our cost of revenue was up 10% compared to last year’s second quarter. The increase was primarily due to higher costs associated with customer maintenance of license cost, increased hardware cost, card and transaction processing increase in line with related revenue growth, and also higher personnel costs compared to a year ago. Research and development expense increased 12% for the second quarter of fiscal 2022 compared to the same quarter last year. This increase was primarily due to personnel costs. Our SG&A expense increased 26% in the second quarter of fiscal 2022 compared to same quarter. The increase was due primarily again to increase personnel costs and travel costs compared to last year and last year we also had a gain on sale of assets which made for a tough recall.  Our reported consolidated operating margins increased from 22.2% last year to 25.4% in the current year for a 320 bps increase. On a non-GAAP basis our operating margins expanded from 23.3% last year to 21.7% this year for 40 bps expansion. The effective tax rate for the second quarter of fiscal 2022 increased to 23.6 compared to 23.1 in the same quarter a year ago. Net income grew 33% to 95.7 million for the second fiscal quarter compared to 72 million last year with earnings per share of $1.30 for the quarter compared to $0.94 last year for a $0.36 or 38% increase year-over-year.  For cash flow, our total amortization increased 2% for the quarter, I'm sorry, year-to-date compared to the last year due to capitalized software projects being placed in the service. Included in total amortization is the amortization of intangibles relating to acquisitions was just decreased to 8.3 million year-to-date compared to 8.9 million last year. Depreciation expense actually decreased 3% compared to the first six months of the prior year. Operating cash flow was 197.4 million for the year-to-date which is up from 194 million last year which is primarily due to increased net income during the first half compared to previous year and the timing and change of various operating assets and liabilities considered in the calculation of operating cash flow. We invested 101.1 million back into our company through CAPEX, purchased and capitalized software. Our free cash flow which is operating cash flow less CAPEX and CAPS software and then adding back net proceeds from disposal of assets was 96.3 million for the first six months of fiscal year. During the first six months we also spent 193.9 million to purchase 1.25 million shares of stock through the treasury and we paid dividends of 67.7 million in the first six months for a total return to shareholders of 261.6 million in the first half of fiscal 2022.  A couple of comments our balance sheet as of June 30th. Our cash position of 29.1 million is compared to 147.8 million a year ago. Our revolver balance has bounced to 240 million compared to zero a year ago. With the change in cash and debt, balance is primarily related to the 4.1 million shares purchased in the last 18 months. Our return on average assets for the trailing 12 months is 15.2%. Our return on average equity for the trailing 12 months is 24.6% and our return on invested capital for the trailing 12 months is 22.6%. Also yesterday we provided a GAAP and non-GAAP updated revenue guidance in the press release. We also provided a reconciliation of GAAP to non-GAAP revenue in the release following the segment information. However just to be clear, this guidance continues to assume that the country continues to be open and the economy continues to improve. Obviously if things were to go differently then this guidance will be revised.  For GAAP revenue growth for fiscal 2022 based on the amounts of the release yesterday, our revenue guidance has been updated to reflect a higher than a little over 10% growth over fiscal 2021 which we now anticipate deconversion revenue to be approximately $49 million to $50 million for the full year. And right now it appears the Q3 deconversion revenue will be approximately half of the deconversion revenue we saw in Q2. If your remember, on the last call we said that the big percentage of the deconversion fees we saw coming were in Q2 and Q3.  For non-GAAP revenue growth we have updated our guide to be just under 9% for the fiscal year. Obviously these will be updated during the year. We continue to anticipate GAAP and non-GAAP operating margins to improve a little in FY 2022 compared to last year. But I continue to be somewhat cautious on guidance, guiding too much of a non-GAAP operating margin expansion as we will continue to have headwinds on license and hardware revenue as we continue to move core customers from on-premise to private cloud, also personnel costs and travel costs from on-premise to private cloud. Also personnel costs and travel costs continue to increase significantly compared to last year. However, we're still confident that full year non-GAAP operating margins will expand approximately 50 bps or little higher but also a reminder that the highest margin quarter is now our Q1 quarter due to software subscription revenue under ASC 606.  Our effective tax rate for FY 2022 continues to be projected to be slightly higher than 23% compared to the prior year rate. However significant change in the corporate tax structure could change this guidance. Our updated FY 2022 GAAP EPS guide is a range of $4.75 to $4.82 which is an increase from the previous guidance of $4.64 to $4.73, which is a 15% to 17% increase over prior year actual EPS. I will now turn the call back over to Dave for some detailed comments regarding the technology modernization press release that we put out on Monday morning of this week. 
David B. Foss: Thank you Kevin. In this third section of today's call I would like to provide all of you with an outline of our product technology modernization strategy. This is not a product announcement, it's a strategy discussion designed to set an expectation regarding the evolution of our company. I won’t be sharing any specific sales, revenue, or profitability numbers with you today and I probably won't be able to answer all of your questions. I want to be clear about that up front, I'm sharing this with you today because it is important for you to understand how Jack Henry plans to innovate and remain a leader in our industry for many years to come. Many of the recent innovations we have made and we will continue to see are directly tied to this multi-year strategy and we have got developers working behind the scenes on this new technology for more than two years. The strategy we're sharing today further expands upon Jack Henry’s highly successful Open API digital banking platform.  Before we get into the details let me first set some context for this strategy. You heard me say many times that we are a well-rounded financial technology company focused on serving the technology needs of community and regional financial institutions. That is our primary audience and we've been focused on that market for the last 45 years. Today we serve close to 8500 financial institutions through approximately 300 different solutions and we have more than 850 Fintech providers currently connected into our ecosystem. While other providers in our space have shifted direction over the last few years, we continue to be 100% focused on serving the full and complete financial technology needs of community and regional financial institutions. The reason we and our clients have been successful for so long as we have continued to evolve our business in a measured and thoughtful way to help our clients meet the changing needs of their account holders.  In the early days of our company when people visited branches for their financial needs, our focus was on automating everything that was being done on paper. We reported that as the first generation of financial technology solutions, then the internet came along and it caused disruption as people began to move away from visiting local branches due to a desire to conduct more business online. What did we do then, we made more services available via the internet to ensure a seamless experience between online, mobile, and branch banking. That was the genesis for this second generation of financial technology. Today we are at a pivotal point similar to when the internet was introduced. Things are changing to the point that our industry requires someone to innovate a next generation solution. Many non-traditional banks have entered the market blurring the lines between traditional and non-traditional providers and people have learned how to manage their finances digitally.  At the same time a new hybrid monetary ecosystem has emerged as new currencies like crypto have become more mainstream and are actively traded through platforms like Coinbase. It is also becoming more clear that Central Bank Digital Currencies or CBDC's are likely on the near-term horizon and our clients will need a strategy and technology solutions to address customer demand for these options. So why does all this matter, the simple answer is these dynamics are fundamentally changing how people want and expect to bank. This is especially true with the younger generation. A recent Javelin [ph] report shows that non-banks now provide 65% of financial relationships for Gen Ys and 69% for Gen Zs. Fewer are going into the branches or calling customer service. They expect to do everything digitally.  The emergence of new financial apps has created an unprecedented level of financial fragmentation. It's not uncommon for someone to use between 30 and 40 different financial applications and services to address their financial needs. This may be great for some people but this fragmentation also impacts the ability of people to make informed financial decisions and that can lead to poor management of their finances. For community and individual [ph] financial institutions, this digital transformation possess both upside opportunities and downside risk. To capture the opportunity our clients need a clear growth strategy focused on the customers and customer niches they will serve. They need a product and services strategy that enables them to provide the best solutions to their customers while delivering service in a customer's moments of need and relevance. And they need a technology modernization strategy that makes all of this possible, even as additional changes occur in the future. That's where we come in.  Let's talk about what Jack Henry is doing to help our clients capitalize on this opportunity through our product technology modernization strategy. Let me start with our end goal here and then I'll talk about how we're going to get there. At the highest level, we are focused on developing a single, modern open banking platform that enables easy access to a broad ecosystem of Jack Henry solutions and high grade third party FinTech offerings. What do we mean by next generation technology? Essentially, it is technology that is component based, services are isolated, and able to run independently giving community and regional financial institutions the ability to customize and build platforms that work best for them and their account holders. It's technology that is cloud native, which means it's built on the cloud and not just hosted on the cloud. This is a really important distinction from other public cloud offerings because it enables greater flexibility, faster upgrades, and efficient scale. It's technology that is open to allow our clients to have the best of both worlds. They have access to our best of breed capabilities, and they can embed Fintech’s of their choice into the Jack Henry ecosystem. It's technology that is not tightly coupled to any legacy products, databases, or other technologies. And it is technology that is digitally centric which puts the financial institution at the center of their customers financial lives.  Over time, we will be applying the same next generation technology approach to virtually all of our services across the Jack Henry platform. There are four parts of our technology modernization strategy, these parts are related but they are not linear. First, we are redefining the core processing system. Second, we're providing multiple integration options supported by our open philosophy and technology. Third, we're delivering industry leading capabilities across a single next generation platform. And fourth, we will operate as more than a core processor by providing a full banking ecosystem.  Let's talk about each of these four areas of focus. The first is to redefine core processing system and what the core processing system is. Essentially, we are unbundling services that traditionally would be in a core processing system, and making them discrete services that can be customized and re-bundled. Examples of services that we would unbundle in place of the public cloud are new account opening via our processing, deposit processing and account servicing. Since these services will be housed in a safe secure cloud environment, we can easily make updates so that they can stay current independent of the other services used by our client. This benefits our clients and that they will have greater flexibility, options to choose which services make the most sense for them, and speed to market. We already have several clients running in a beta testing environment with the first of these unbundled services. I want to be clear that re-bundling core services in the public cloud is a longer term strategy. We plan for this to happen in stages over the next few years and we expect no immediate impact on our existing core processing systems. Over time Jack Henry clients will be able to choose if they want to use cloud native services, and they will not be faced with what we have today as a full core conversion. Meanwhile, we will continue to invest in and service our existing cores at the same rate as in the past.  The second part of our strategy is to provide multiple integration options supported by our open philosophy and technology. You've heard me say before that Jack Henry has always operated with an open philosophy and we are continuing to expand on this. A key part of this is integrations and the flow of data between them. We have several data integration options, some of which we've offered for a long time. The newest one is real time data streaming, which is constant data streaming to all systems on the platform at the same time. Those systems are updated in real time, there is no waiting for information to flow through overnight or for someone to respond to a request. This is essential to support the real time nature of services like payments and fraud detection. The third part is delivering industry leading capabilities across a single next generation platform. We've made significant innovations to our capabilities in many key areas of focus for our clients. You've heard me talk about our success with several of these in the past including digital banking, our pay center payments hub, our lending suite, and our new financial crime solution. This third part of our strategy brings all of our best breed capabilities into a single technology platform that has the same look and feel, and the same underlying technology infrastructure. This is a big deal. None of the single point solution technology providers can capitalize on the use of this next generation technology like we can.  The fourth part of our strategy is operating as more than a core processor by providing a full banking ecosystem. This is what pulls it all together. We just talked about creating a single technology platform that contains our best of breed solutions. This ecosystem goes beyond that by also providing access to leading Fintechs and third parties such as Dell, Finicity, Autobooks, and Alloys all through a single platform. We have a significant head start on building this ecosystem, because we have 800 -- over 850 integrations completed and are adding more each day. Additionally, we are the only platform provider to have relationships with all four major financial data aggregators, Finicity, [indiscernible]. These companies enable financial institutions to provide their account holders a complete financial picture in a safe and secure way that eliminates screen scraping. Additionally, we currently have relationships with all of the major public cloud providers and are running workloads with all of them today. We will be offering a broad range of selection and/or optionality with each provider, as well as private cloud options, bringing the best technology to bear for our clients.  I know this is a lot of new information so let's use an analogy to tie all of this together. Think of any traditional core solution as a sport utility vehicle, an SUV. Regardless of who you're buying your SUV from, it's still an SUV, it's not a pickup, it's not a luxury car, you can hook a trailer to the back, you can put a luggage carrier on top, you can tint the windows and repaint the exterior, and you have a very nice, very functional SUV, but it's an SUV. All of the core providers in the industry have been in the business for years of selling really nice SUVs. At Jack Henry for clients to choose to adopt our next generation technology strategy, this new approach will enable them to choose how they want to customize their vehicle. We'll sell them the frame with a pre-established wheelbase, but the buyer can choose whether they want a V8, V6, or a plugin hybrid engine. For us that might mean AWS, Azure, or private cloud.  Additionally, they can decide if they want an SUV, a pickup, or a luxury sedan built on that same frame. They can buy the components if they're built correctly, buy the components from Jack Henry, or from another supplier because the components if they're built correctly, will fit in our vehicle without any modification. In this scenario, Fintech solutions are aftermarket add ons, they can be built right into our ecosystem, leveraging reusable components to give the Jack Henry client a tightly integrated, purpose built, and efficient solution even as some of the components aren’t purchased from Jack Henry. This, of course, is an extension of the open philosophy Jack Henry has supported for most of our history.  Although we will offer the flexibility for our clients to configure their offering in any number of ways, we believe that because we offer that flexibility, and many best of breed solutions, most clients who are charting their strategies for the future will want to buy most of the components in a bundle from Jack Henry. If the client wishes to purchase a bundle, just like what we refer to as a core solution today, we will certainly offer them that option. This strategy puts the community and regional financial institution at the center of their customers financial lives. And it helps address the financial fragmentation I talked about earlier.  In the end, our clients will benefit from all of this because they will be able to build, customize, and evolve digital experiences and products. They can offer access to leading edge services and capabilities, whether through Jack Henry or a third party through a single platform to create unique value that their competitors simply can't deliver. And they'll offer personal service in moments of need and moments of relevance so they can sustain their competitive advantage of service and trust. I know your first questions will be how much will this cost and what additional revenue will it generate, so let me address those. On the cost question. We continue to invest about 14% of our revenue in research and development and technology. That will not change. In fact, I mentioned that we've been investing in this strategy for more than two and a half years. And we've continued to invest in existing systems while maintaining our 14% spin. We've been able to do that because that 14% commitment is based on a rising revenue number. This is important for our existing loyal base of clients because it means we can continue to support all of our current core and complementary solutions, at the same rate as before, even as we invest in this new strategy.  As to additional revenue, it's really too early to say. As I said, this is a long term strategy for us and it will not happen overnight. That said, there are certain things that we are doing now, such as building out our own capabilities and rolling out new services based on this strategy. And I can tell you that we have already won some new deals because of this strategy and we expect that to continue. Why? Because most financial institution CEOs know they need modern technology and they want it procured from a company like ours, that has a 45 year track record of delivering and supporting a broad set of capabilities and solutions in a manner that is responsive to their evolving need for banking as a service options to their customers.  Community and Regional financial institutions are the lifeblood of main street America. As we've discussed, however, many of them are at crossroads. Personal service and experience they are known for is being disrupted by technology as non-traditional financial service providers have entered the market. The way people bank has fundamentally changed especially for the younger generation. This has created fragmentation as consumers and businesses try to manage their finances across multiple providers. As a well-rounded financial technology company, Jack Henry is in a unique position to provide modern technology and services to help community and regional financial institutions capitalize on this opportunity and strengthen connections with their accountholders.  I believe that 2022 is the most significant year for our company since the early 2000s, when we executed our ProfitStar strategy, and that strategy turned into a game changer for us. I sincerely believe that the strategy is right and the long term opportunity will be significant for our company and our clients. You should expect to hear a lot more about our work around this strategy as we move forward. With that, I'll turn it back to Kevin to introduce Q&A. 
Kevin D. Williams: Thanks, Dave, what a great update on our strategies and we are so excited about this. And as Dave mentioned, I'm sure after all that information you probably got more questions than we have answers. But again, as Dave said, this is not a short-term thing. This is a long-term strategy for Jack Henry. So with that, this now concludes our opening comments. We're now ready to take questions regarding the quarter or our strategy of day to day provided. Olivia, will you please open the call lines up for questions.
Operator: [Operator Instructions]. Our first question is coming from the line of Rayna Kumar with UBS. Your line is open.
Rayna Kumar: Good morning Dave and Kevin. Thanks for all the details on your technology modernization program. Just a few questions on that, is there any change in your competitive environment that has prompted you to alter your strategy? And second, if you can talk about your pricing strategy tied to the technology modernization, that would be very helpful?
Kevin D. Williams: Sure, thank you Rayna. I wouldn't say that this was driven by something we saw as far as competitors are concerned, again, we've been working on this for years. We first started developing this strategy four years ago. We started, coders started programming about two and a half years ago as I mentioned earlier. So this wasn't as much driven by anything that we saw our competitors doing specifically, it was driven by the things that I outlined there, the disruption that's happening among financial services and the concern that we had for our customers being positioned to compete effectively in the future. And so the question for us is, how do we ensure that those customers are enabled with great technology so that they can compete going forward.  As to your second question, I started my comments by saying, I know there will be questions that you will ask that I won't be positioned to answer today. This is a long term strategy. But you know us well enough to know that we deliver solutions today in a cloud environment, we know how to price those solutions effectively in a cloud environment. This is us moving on to the public cloud as opposed to private cloud with this strategy. But we will price our solutions in a similar manner to what we've done in the past. It's just that the solutions will be unbundled as compared to selling a no Big Bang core solution. It will be an unbundled offering to our customers, but the long term strategy as far as pricing will be similar to what you've seen us do in the past. 
Rayna Kumar: That's very helpful. And a question on the quarter, so your adjusted payments segment revenue that was up 13% in the quarter, very strong. Can you break down some of the drivers of that growth and how we should be thinking about the payments revenue growth in the back half of this year or the back half of your fiscal year 2022?
David B. Foss: Well, I'll take the first and then I'll let Kevin chime in here. So the drivers really things that we've highlighted in the past, the payment segment is made up of three different components, it is our bill pay business, our card business, and our business we refer to as enterprise payment solutions, which is what has captured an ACH origination. As we piloted many times, the bill pay business, although it's a very successful business, it's not a ton of growth in bill pay, it's a slow grower. But really the cards business and the enterprise payments business, both of them have continued to post real nice growth in those two areas, the payments business. So it's those two that are driving the continued growth, we're adding new customers in both areas, and so it's new customer additions, plus organic growth, same store sales growth from the customers that we already have. And as far as the look forward, I'll ask Kevin to comment on that. 
Kevin D. Williams: Yeah, so I agree. I mean, our enterprise payment solutions continues to be the fastest growing of the three and continues to become a larger percentage, which both, actually all three of those components have a very nice margin to them. And we think we'll continue to see nice margin expansion in our payments, as we continue to add new debit and credit and EPS customers. So I think those are going to change these drivers, right. And I think that growth is sustainable for the foreseeable future. 
Rayna Kumar: Thank you.
Operator: Our next question is coming from the line of Vasu Govil with KBW. Your line is open. 
Vasu Govil: Hi, thanks for taking my question. Dave, first one for you on the new technology initiative, a lot of good info. And I know you've sort of characterized it as a long term strategy but what time frame are we looking at for you to realize this and the vision of having a customizable core, and what will be the strategy around converting existing clients to this new core? And then just to follow-up on that, I know it's too early to comment on revenue contribution, but help us think about how much of this initiative is to drive incremental revenue opportunity versus upgrading existing customers to preserve share in the market? 
David B. Foss: So there's a lot wrapped up in there. So one of the comments that I made as I was walking through the strategy is the fact that we have customers today in beta with some of the components that you would think of as core traditionally. They're in beta today. So we will have customers live later this calendar year with different components. But as far as, if you think about a core system, there are a whole bunch of different functions within a core and so all those functions are in the process of being unbundled and rewritten to function on this new platform. And so it'll be over the course of years that that will happen. But you'll see in the relatively near term, you'll see customers who will deploy what people in the industry refer to as a side core, where they're doing a digital only core that has a positive gathering machine, probably with a different brand. You'll see us doing that in the relatively near-term with customers, and then all the rest of the functionality will come over time.  The really good news in all of this, I'm thrilled about the strategy overall, but the really good news is the platform is there already, we've created the platform, we've created all these connections. So I referenced the 850 Fintechs that we are connected to already. You might ask well, how did that happen, how did you do that so fast? Well, we already had many of these connected to our various technologies as far as the tools that we used to connect Fintechs into our legacy solutions. Well, we were able to port those over, we rewrote the Jack -- what we refer to as the Jack Henry gateway, rewrote it to run to this new platform, but didn't break those connections with all those people that we've worked with in the past. So now they can take advantage of the new platform, without them having to do any work on their side, if they're already connected into us through the Jack Henry gateway. They aren’t allowed to do any additional work but they've gained this ability now to connect into these Jack Henry systems for all these Fintechs that we've been working with over time. And so that's another advantage with this strategy.  As far as migrating customers across, whether they're rendering a Jack Henry core or not at the time what you'll see happen is they will start to consume these services that will be available to customers, whether they're on a Jack Henry core or not, they'll be able to consume those services, they'll be able to access the platform, and then what that means is they can go through a conversion without a big bang conversion. So we won't talk in the future about doing a core conversion anymore. People will start to consume services and move over to the new platform at their pace. If they want to do a big bang conversion, they can do that. If they want to consume services so that it's not as disruptive to their employees and their customers, they can do that and kind of manage it over time. And so depending on the model that our customer chooses to employ with Jack Henry, that'll depend on when new revenue comes flowing in, and how that flows in.  As far as the last part of your question about is this simply a strategy to retain existing customers, absolutely not. I mean, we think our customers are -- we've shared this with some customers under the covers already making sure they know where we're going, the response has been overwhelmingly positive. So we certainly believe that our existing customers, like the fact that we're protecting their future for them, protecting their investment in Jack Henry Solutions for them. But as I mentioned in my comments, we know some of the customers that have signed new core deals with us and I mentioned, we just signed 15 in the quarter last quarter. We know some of them are signing, because they've been exposed to the strategy of the [ph] future, they be partnered with a technology provider that's helping to position them for the future, and make sure that they have easy connectivity into all these different Fintechs. So, it's been great response so far, the people that know what we're doing, existing customers are not, and we're excited about this opportunity.
Vasu Govil: Thank you, that's a lot of great color. And just two quick ones for Kevin, first, on just the margin guide of flight expansion year-on-year. Just wondering if we've seen sort of solid trends in the first half of this year, and the guide would then imply that there's some margin contraction that might happen in the back half. And just curious if there are any incremental items that will weigh on margins in the back half versus what you had previously expected? And the follow-up I have is on just free cash flow. I know there's typically some seasonality in the second quarter, but even on a trailing 12 month basis it seems like it's lagging what it historically has been. So maybe if you could talk about what's driving that trend and what you expect for free cash flow conversion -- going forward?
Kevin D. Williams: Yes. So on margins, we're probably a little conservative on the back half. But remember, I mean Q1 under the new revenue rec rules and under ASC 606, the margin in Q1 are so strong, but it's hard to keep up with that when you're recognizing so much revenue without the related expense in Q1. So I think our margin expansion for the year is 50 bps. And also, as I said in opening comments, I mean, our travel costs and personnel costs continue to go up. I mean it's just -- there are some challenges out there to retain talent, and we're focused on that. So we're probably a little conservative, but I'm still very bullish that we can maintain a 50-plus bps margin expansion this year and see where it goes from there. As far as free cash flow, as you -- obviously, I mean, our strong orders and free cash flow is Q1 and Q4 because of the billing of our annual maintenance in June 1st, and our annual maintenance billings is roughly $240 million to $245 million, that's what it should be this year, and we collect all of that in Q1 and Q2, which that drives a lot of the free cash flow. So we're a little behind where we were last year. Will we catch up to where we were last year, probably, I really doubt it. I don't know if we get back to 100% conversion of net income to free cash flow this year, but we will make up a lot of ground in Q4.
Vasu Govil: Great, thank you very much.
Operator: And our next question comes from Kartik Mehta with Northcoast Research. Your line is open.
Kartik Mehta: Hey, good morning. Dave, just on your core new strategy, do you think that will mean that you'll have more partnerships, so maybe more partnerships at a customer?
David B. Foss: Yes, I hesitate to use the word partnership because I think there's a lot implied in that, that people assume there's rev share and our sales reps are reselling somebody else's technology. So I usually shy away from the word partnership. Will there be more third parties involved in our customers? Maybe, maybe not. The thing that Jack Henry has already known for is for being the most open provider out there on the core side as far as our willingness and ability to easily connect into our systems. And so it will depend on the financial institution deciding what is their -- what's the strategy for them, what's the right strategy, and what do they need to connect into our infrastructure to enable that strategy. So I don't know that I would say that just on its surface, because, again, a lot of people -- a lot of our customers, I think, already take advantage of the open solutions that we've been providing for years.
Kartik Mehta: Okay, I guess I was trying to get to, do you think that if there are more third parties involved, that changes the revenue dynamics for Jack Henry?
David B. Foss: I don't think there's any negative in that for Jack Henry. I think there is a tremendous amount of positive in that because of all the technology solutions that will be living in the same environment, living on the same platform that will be offered by Jack Henry, certainly no negative in that as far as I'm concerned.
Kevin D. Williams: Yes, Kartik, as Dave said, we're tied into 850 Fintechs so I mean that's a very large number already in there. So will that number go up, maybe, but on a per customer basis, right, it will depend on the customers' needs.
Kartik Mehta: And then just on the contracts that you have, obviously, inflation having a big impact. Are you able to get increases, annual increases because of the contracts you have or is there any limitations to what you can do with your customers?
David B. Foss: Yes, there are CPI accelerators built into virtually every contract -- obviously not every contract but in virtually every contract, there are CPI accelerators that are built into those. So we're doing the same evaluation I think I talked about in the last call that evaluation, we're going through on a product basis and overall as a company to determine where are those right opportunities to engage or leverage those CPI opportunities.
Kartik Mehta: And then just one last question. Dave, I think you talked about adding a conversion team to your banking platform and then eventually one to your credit union platform. And I'm wondering is that because of what's happening with COVID and there's an increased demand for banks wanting to outsource or is there another reason that that's making you add these conversion teams?
David B. Foss: The biggest thing, when we refer -- and I refer to it specifically as convert/merge revenue, the biggest driver of that is Jack Henry financial institutions acquiring other financial institutions. And coming to us and saying, Hey, we just acquired this bank, we need you guys to help us convert them on to the Jack Henry platform [ph]. That's the driver. And we have conversion teams that do new. Of course, we're winning all these new logos to Jack Henry as new banks and credit unions. But those conversion teams, they run pretty steady. We're doing 12, 15 new customers a quarter, and I report on that very regularly. That runs pretty steady. So pretty much everything I was referring to there is being driven by Jack Henry customers, who are acquiring other customers and needing help, converting them over to our systems. And as I mentioned, we did a banking team already. The credit union -- the next credit union team additional team goes into effect here in this -- I guess the quarter we're sitting in right now. And then we're evaluating, possibly adding two more teams because there is so much demand among Jack Henry customers looking to add customers on to our platforms.
Kevin D. Williams: And just a reminder, Kartik, to convert a new customer or a new logo, it takes an enormous amount of time than a convert/merge as Dave said to convert a bank that is being acquired on to existing core customer because they've already got basically the system in place that they need.
Kartik Mehta: Got it. Thank you both very much, appreciate it.
Operator: Our next question comes from Ian Swanstrom with [indiscernible]. Your line is open.
Kevin D. Williams: We're not hearing anything, Olivia.
Operator: Please check your mute button. Would you like me to go to the next person?
Kevin D. Williams: Yes.
Operator: Our next person in queue coming from the line of Dominick Gabriele with Oppenheimer. Your line is open. 
Dominick Gabriele: Hey, great. Thanks so much for all the detail on the new strategy. Are you -- I just want to make sure I understand perhaps correctly, are you creating a banking product marketplace where perhaps even an executive, let's say, can sit in front of the computer, open up the Jack Henry software and say, download quickly self-onboard whatever product they decide? And I guess is that part of like the enticement here for them, is that they could -- the rapid kind of onboarding they can have for almost any Jack Henry or third-party product?
David B. Foss: Yes, I get where you're going, Dominick. That is not what we're announcing. We're announcing this is a much bigger platform than what you just alluded to. So this is essentially all banking functions that we -- that people think of today as being in the core system and in the associated complementary systems. All of those systems being available over the long term. Again, this isn't a product announcement, it's not available tomorrow. This is a strategy, but all services that you think of in a core system and the related complementary solutions, all living on a single platform on the public cloud available through Jack Henry, whether those technology solutions come directly from Jack Henry or if it's a fintech solution that the bank or credit union decides to work with. Now implied in all of that, in the end, will there be an option for a marketplace, absolutely. That will be implied in the end, but that is not what we're talking about here at the starting point. And this is all about building this platform and all of this ability to support something like that, and then the marketplace is implied once you get to that point.
Dominick Gabriele: Great. Great. And then I guess when you just think about the functionality of the end user and what this provides them that's perhaps even better than the strong functionality you provide today, is it -- what are the keys that they're going to see once this is complete on their end, is it speed, is it optionality of products, is it ease of use of among their end users or cost saves, some competitive edge, any color there of what they tangibly see once they put all this stuff, everything to use? Thanks.
David B. Foss: Yes. And I think I'll discuss this with two different audiences in mind. So one is our customer, which is the bank or credit union. The other is their customer, which is the consumer or small business. So let me first start with our customer. One of the key advantages in a strategy like this is around the topic of security. So I highlighted the financial data exchanges and the fact that we have relationships today with the four primary financial data exchanges. What that does for the bank or credit union is it eliminates the need for screen scraping, highly insecure, brittle process that's been around for many years. I've been in this industry for 36 years, and I think people were screen scraping when I first started in the industry. So that's been in the industry for a long time. Most players in the industry use screen scraping. We are dead set on eliminating screen scraping for all of our customers. So security and secure exchange of data between financial institutions and Fintechs that is one of the keys here. So the fintech or the -- our financial institution, our customer benefits by added security. Speed, scalability, all the things that you think about when you think about running solutions on the public cloud, all of those things certainly are part of this advantage for the Jack Henry customer. But maybe one of the biggest advantages is for the Jack Henry clients and the bank or credit union is the idea that they can now customize more directly what it is that they're offering to their customers. They can define market niches that they want to go after, and they can use Jack Henry technology or third-party technology on the same platform, in the same presentation to the end user, the end customer, because it's all being run on the same platform. That's a big opportunity for our customers to take advantage of this disruption that's happening in the industry and turn it into opportunity by targeting segments that they want to target. And now when we flip it over to the end consumer or the small business, what do they experience, I think the best way I can articulate this is, think about -- forget about a bank's website.  Think about the digital presentation that you use when you go to your bank's mobile banking application what if in the application, not only could you see all the stuff that the bank has for you, whoever you bank with, but you could also see your crypto balance. Not that the bank is holding your crypto balance on their balance sheet, but you can see that right in the same app. I'm not talking about closing the app and opening another app on your iPhone. I'm saying in the same app, you can see your crypto balance. You can see all the banking information that you have from your bank. You can see your retirement account that you have with Prudential, all of those things presented in the same experience to the consumer through that same application. That's where the strategy gets us. That's where we're headed by creating this platform that supports all of this interconnectivity and this secure exchange of financial data between applications. That's one of the key, and I could go on and on and on and give you all kinds of examples, but that's one that I think most people can relate to. Wouldn't it be cool if I could look at -- open my digital banking app with my bank and in that, I would not only see my balances with my bank, but all my other stuff that I have with all these other providers all through the same presentation. That's where we'll get.
Dominick Gabriele: That’s so exciting and great quarter. 
Operator: Our next question coming from the line of Ken Suchoski with Autonomous Research. Your line is open.
Kenneth Suchoski: Hi good morning David and Kevin. Thanks for taking the question. I appreciate the update on the long-term strategy. I just wanted to ask about your cloud native digital first offering. And I was wondering if you can give us a sense for how your offering compares to peers because we see FIS talk about its modern banking platform. We saw Fiserv announced this week the acquisition of Finxact. So are there areas where you think your offering is superior versus those providers and are there areas where maybe you need to catch up to bring your offering up to par with theirs, it would just be great to get your thoughts on kind of where you're differentiated?
David B. Foss: Yes. So Ken, I'm not in the business on an earnings call going into describing what our competitors are offering. The thing that I will say is we know those solutions very well. We have been investigating for years. This is -- again, this is what we do. Delivering technology solutions to banks and credit unions is all we do. And so we know what our competitors are doing. I have every confidence that the technology solution that Jack Henry is delivering here, what I've just talked about, is a completely differentiated solution. And just in part because it is not a core solution, right? Both of the examples you gave are core solutions. This is unbundling the core. This is redefining what we think about as core. There is no independence. The other thing that I'll highlight, no dependence on the legacy database with what we're talking about here. There is no requirement that you have a legacy database underneath the core solution and what we're talking about here. So it's a totally differentiated strategy from the others that you named. So we feel very confident in what we've created here and our ability to kind of disrupt the market. But again, this isn't something that we're rolling out next week. This is a strategy discussion. This is a long term where is our company going and how are we going to differentiate for the long-term against anybody else in the market.
Kevin D. Williams: But as Dave said earlier, the platform is in place or in this example, the chassis to the vehicles in place. And so now, as Dave mentioned, we've already got some solutions out in beta. That's not the core, but it's pieces and parts of the core that's already on the platform beta that will be rolled out later this summer in general availability.
Kenneth Suchoski: Okay. Great. That's really helpful. I like the car analogy it's really helpful to dumb it down for all of us. I think -- I guess the next question for me is it's interesting that you're talking about unbundling these solutions, allowing clients to embed fintechs of their choice into these offerings. And so it seems like they're not tied into any legacy products, you're unbundling those functions. I mean how comfortable are you that that's not going to create a revenue headwind going forward just because maybe these customers aren't locked into your offering as much as they were before? Or do you feel like you're pretty open today?
David B. Foss: Well, I feel like we're pretty open today. This is a question that we've had -- why does Jack Henry continue to support this idea of open connectivity and creating these connections without charging $100,000 just for somebody to connect into Jack Henry solutions. And the answer is, we -- our philosophy has been and continues to be. Our job is to help make our customers successful. And if we are truly committed to making them successful, we try to make all that stuff easy and make it relatively inexpensive. And our customers, that's part of the reason they do business with Jack Henry, because they know that we will offer that connectivity. This isn't something new. This isn't a new philosophy for us. This has always been the way it's been at Jack Henry. And so it's counterintuitive to most people. Why don't you try and create as many barriers as you can to people doing business with others in the space? Why do you make it so easy to connect into your systems? I think it's because we make it easy that people want to do business with Jack Henry, and they want to buy more solutions from us because we create those options for them. And again, our job is to help our customers be successful, and we are truly committed to that, and this is just the continued extension of that philosophy.
Kenneth Suchoski: That's really helpful, David. And then maybe if I could just sneak one last one here. I think you mentioned that you've been working on this strategy for the last couple of years, and that this is a long-term strategy. Does this increase the CAPEX requirements or the operating expense requirements at all going forward to really build this out or do you still feel comfortable with the 50 to 75 basis points of margin expansion in 2023 and beyond?
David B. Foss: Yes. Everything that we've guided, so my comments and my commentary there, the 14% of revenue that we're putting back into R&D, that is a number we've been telegraphing to you all for years now. We are sticking with that number. And all the guidance that Kevin has provided, all of that is baked into the numbers that we've provided. And the key point there is 14% on a rising revenue, essentially, that's creating about $20 million a year in additional money for us to invest in R&D. So that doesn't require us to do any slowdown on any of the great work our teams do to support our existing cores in our existing complementary solutions. All of that continues as it has been. But just because we're sticking with 14% on a rising revenue number, that creates this additional -- these additional dollars for us to put against this critical R&D initiative for our company. So no need for us to accelerate on CAPEX, no need for us to take a hit to earnings or anything like that, but we can continue to execute on this wonderful strategy. And by the way, so I want to be clear with everybody, we've been working on the strategy for several years. We've had developers coding for two to two and half years. But this strategy has been developed for a long time. So I want to be clear that we didn't just start on this two and half years ago, started thinking about this -- we've been thinking about this for a long time. We actually had coders starting to write code about two or two and half years ago.
Kevin D. Williams: And in that 14%, the team that is focused on this new strategy has been growing and in place. We have not taken developers from any of our other products, and we won't because we have to keep those other products continue to increase their feature functionality. So it's not going to take away from any of our existing development. It's just this long-term strategy that's been put in place over the last few years.
Kenneth Suchoski: Okay, got it. Makes a lot of sense. Thank you very much, look forward to following the progress.
Operator: I am showing no further questions. I will now turn the call back over to Mr. Kevin Williams.
Kevin D. Williams: Thank you. We are obviously very pleased with the results from our ongoing operations and extremely excited for the future with the new strategy that they rolled out. I want to thank all of our associates for the way they have handled the challenges that we are currently endeavoring by taking care of themselves and our customers and continue to work hard to improve our company to continue moving forward for the future. All of us at Jack Henry continue to focus on what is best for our customers and shareholders. I want to thank you again for joining us today. And Olivia, will you please provide the replay number?
Operator: Ladies and gentlemen, today's replay number is 1-800-585-8367, again it is 1-800-585-8367, entering access code 9874774. Again, the replay access code is 9874774. That does conclude our conference for today. Thank you for your participation. You may now disconnect.